Kinner Lakhani: Welcome everyone. Thank you for joining our Third Quarter 2022 Results Call. So we have a busy schedule ahead of us with our third quarter earnings presentation, followed by the 2022 strategy update presentation, which as you know begins at 9:30 GMT. So please note that this call will very much be focused on earnings and I kindly ask you to respect that in the Q&A that follows. Before we begin, please note all the legal disclaimers in the presentation and let me remind you the important cautionary statements including in relation to forward-looking statements, non-GAAP financial measures and Basel III disclosures. For a detailed discussion of our results, we refer you to the Credit Suisse third quarter 2022 earnings release published this morning. Let me remind you that our third quarter financial report and the accompanying financial statements for the period will be published in early November. I will now hand over to our Group CEO, Ulrich Körner; and our Group CFO, Dixit Joshi, who will run through our numbers.
Ulrich Körner: Thank you very much, Kinner and thank you all for joining today. We appreciate your participation and engagement. For the purpose of this call, we intend to focus on our third quarter performance only, and I will share some brief remarks before handing over to our new Chief Financial Officer, Dixit Joshi. We will discuss the outcomes of our strategic review later today, starting at 9:30 London time. I hope that many of you on this call will be able to join us then. Let me turn to performance. Overall, our results for the third quarter 2022 were significantly impacted by the continued challenging market and macroeconomic conditions. They were also reflective of underperformance compared to peers in certain business lines. And importantly, the effects of some of the strategic decisions that we have announced today. Starting with the headline numbers. Here on Slide 4 of the presentation, we reported a net loss of CHF4 billion in the quarter including a CHF3.7 billion impairment related to the reassessment of deferred tax assets resulting from the strategic review. Our reported pre-tax loss was CHF300 million and included CHF200 million in major litigation provisions, which I will expand on shortly. The adjusted pre-tax loss of CHF100 million, mainly due to an investment banking – a weak investment banking performance, as well as somewhat lower client activity across all our divisions. In terms of our capital position, our CET1 capital ratio for the quarter was 12.6%, down 90 basis points. This was primarily due to the impact of deferred tax assets of approximately 50 basis points relating to the strategic review, together with the pretax loss and increased risk-weighted assets. Today we have announced the capital raise of CHF4 billion, which would increase the pro forma CET1 ratio to 14%. This means that we begin our strategic transformation from a position of capital strengths. Now let me turn to the details on the progress we are making towards resolving legacy litigation issues with the next slide. Total litigation provisions for the quarter were CHF245 million, of which CHF178 million, where major litigation provisions, primarily related to previously disclosed matters as we continue to take a proactive approach to reducing our litigation docket. The two most prominent recent examples of resolutions are: first, the settlement agreement with the New Jersey Attorney General related to a legacy residential mortgage-backed securities case, which was already fully provisioned. This resolved the largest of the bank's remaining exposure in the RMBS docket with transactions going back to before 2008. Second, the successful settlement in the French legacy case announced this week. Those represent major milestones in our efforts to achieve a significant reduction in our outstanding litigation docket and are supported by a quarter-on-quarter reduction in the range of reasonably possible losses of around 19%. Let's look at the breakdown of the third quarter results by division with the next slide. The loss in the quarter was predominantly driven by the weak performance in the Investment Bank which was impacted by higher volatility widened credit spreads and muted primary issuance resulting in an adjusted pre-tax loss of the divisions -- of the division of CHF640 million. The difficult macro environment also impacted the year-on-year performances of our Wealth Management division which posted an adjusted pre-tax income of CHF78 million including a CHF145 million of impairments related to certain IT-related assets. The Swiss Bank and Asset Management divisions both had a solid performance with adjusted pre-tax income of CHF383 million and CHF104 million respectively. With that I hand it over to Dixit who will walk you through the results in more detail. 
Dixit Joshi: Thank you Ulrich and good morning everyone. I'm pleased to be presenting my first set of quarterly results at Credit Suisse and look forward to speaking to some of you in person later today. I will now provide some details on our performance at the group and the divisional levels. As you all know challenging conditions continued during the third quarter with heightened market volatility, weak customer flows, and ongoing client deleveraging and our financial performance reflects these challenges. So, let's start with the group numbers. Reported net revenues for the group decreased 30% year-on-year to CHF3.8 billion. The key drivers were substantially lower levels of activity across the industry in equity capital markets and leverage finance which contributed to a weak performance in the Investment Bank and subdued client activity in Wealth Management especially in terms of transaction-based activity. Total reported operating expenses were 10% lower year-on-year at CHF4.13 billion. Ulrich has already mentioned the major litigation provisions of CHF178 million and the progress that we are making with regard to our legacy issues. Overall, our reported pre-tax loss for the quarter was CHF342 million. Adjusted operating expenses were down 6% year-on-year at CHF3.87 billion, mainly driven by lower compensation and benefits expenses. This was partially offset by an impairment of IT-related assets in Wealth Management totaling CHF145 million. On an adjusted basis, we recorded a pre-tax loss of CHF92 million in the third quarter. We also reported an income tax charge of CHF3.7 billion in the quarter of which the majority CHF3.66 billion was an impairment related to a reassessment of deferred tax assets resulting from our strategic review and so is not related to our third quarter operating performance. The net loss attributable to shareholders including the income tax expense totaled CHF4.03 billion for the quarter. Turning now to assets under management on the next slide. Market movements were the main driver of a CHF53 billion decline in assets under management for the group quarter-on-quarter. This includes net asset outflows of CHF12.9 billion. At this point, I would like to provide some additional context and commentary on asset flows at the start of the fourth quarter. We did see a significant level of deposit and AUM outflows during the first two weeks of October. Whilst these outflows have stabilized since this period they've not yet reversed. We have plans to address these matters after 27th of October through amongst other things accessing capital markets and executing the strategic initiatives we have announced today. We would note that the execution of these measures is also expected to generate liquidity and reduce the funding requirements of the group. Let's now turn to costs on the next slide. As I mentioned earlier, adjusted operating costs were 6% lower year-on-year at CHF 3.87 billion. This was mainly due to a reduction in our compensation and benefits accruals of CHF 398 million, reflecting our revenue performance and pre-tax loss in the third quarter. The figure also includes a charge of CHF 145 million that I mentioned earlier as we took the decision to impair IT-related assets in Wealth Management following a review of our technology and platform strategy in the division. We continue to make investments in technology and in Wealth Management though the associated costs were partly offset by savings and business exits. Later on today, we will provide details of our strategic plan to reduce costs further over the next three years. The IT impairments taken in the second and third quarters are evidence of our willingness to take action in the short-term for longer-term benefit. Let's now turn to our capital ratios on the next slide. Our quarter-end CET1 ratio was 12.6%, a decrease of 90 basis points compared to the end of the second quarter. Let me take you through the key drivers. First, we saw a 12 basis point reduction from the pre-tax loss for the quarter. Second, certain CET1 capital movements accounted for a further 20 basis point reduction. And third, net increases in RWAs in the quarter accounted for a net reduction of 11 basis points. This takes us to a CET1 ratio of 13.1% before the impacts of today's announcements. Taking these in turn the strategy related deferred tax assets impairment reduces the CET1 ratio for the third quarter by 48 basis points to the reported 12.6%. This is more than offset though by the CHF 4 billion capital raise, which adds around 140 basis points taking us to a pro forma CET1 ratio for the third quarter of 14%. Our Tier 1 leverage ratio was 10 basis points lower at 6%, compared to the previous quarter before the strategy impact. The 21 basis point reduction due to the strategy related deferred tax impact is more than offset by an increase of around 45 basis points coming from the capital raise. And this takes the pro forma Tier 1 leverage ratio for the quarter to 6.5%. A few points on parent capital. As a result of our strategy announcement in particular the capital raise, the Credit Suisse AG Swiss CET1 ratio has reduced significantly due to further participation valuation adjustments. In contrast, the announced capital actions are expected to strengthen the group CET1 ratio. In light of the bank's transformation, FINMA has reduced the size of the capital surcharges for the bank's market share and its size according to the capital adequacy ordinance. This results in a lower total capital requirement for Credit Suisse Group AG and its domestic subsidiaries. In addition, the bank parent company will temporarily use capital buffers until the end of 2025 in line with the capital adequacy ordinance and the regulatory guidance by FINMA. This allows the bank effective and efficient capital management during the transformation period. Let's now turn to our business divisions, which we will discuss as usual on an adjusted basis. And I'll start with Wealth Management. Total net revenues in Wealth Management were CHF 1.36 billion, down 14% year-on-year impacted by lower client activity volumes and recurring revenues. Net interest income improved 20% due to higher deposit revenues, which reflected higher interest rates especially in US dollars. This was more than offset by lower recurring commissions and fees, which down 18% and a reduction in transaction-based revenues of 40%. Looking at the revenue lines in more detail. The decline in recurring commissions and fees reflected lower average assets under management and lower service-driven fees. In terms of transaction-based revenues, clients continue to be cautious especially in our Asia Pacific franchise, which impacted Global Trading Solutions revenues. We also saw further mark-to-market losses on our fair value portfolio of CHF 35 million related to the APAC Financing Group. Operating expenses were 9% higher at CHF 1.27 billion mainly driven by an impairment of IT-related assets of CHF 145 million following a review of the wealth management technology and platform strategy. We continue to simplify our technology state and position Wealth Management for the implementation of our new strategy though the costs associated with this were partly offset by lower compensation and benefits expenses. Overall adjusted pretax income for the division was 80% lower year-on-year at CHF 78 million. There were net outflows of CHF 6.4 billion in the quarter due to a combination of clients deleveraging and proactive derisking.  Let's turn to the Swiss Bank. The Swiss Bank delivered a resilient performance notwithstanding the impact on threshold benefits as Swiss interest rates have risen with total net revenues 9% lower year-on-year at CHF 956 million. Net interest income decreased 11% mainly driven by lower threshold benefits from the Swiss National Bank.  As a reminder this threshold benefit has been worth around CHF 350 million per annum while rates have been at minus 75 basis points. But as Swiss interest rates have moved towards 0 that benefit has eroded the effect of this should bottom out around the middle of 2023. Recurring commissions and fees were down 3% year-on-year due to lower assets under management partly offset by higher fees generated from lending. Transaction-based revenues were 17% lower year-on-year. However, we did see a transition gain relating to IBOR in the third quarter of last year.  If we exclude this, as well as gains on certain equity investments transaction-based revenues were 4% lower year-on-year. Operating expenses were 7% lower year-on-year at CHF 552 million mainly due to reductions in compensation and benefits. This translated into a pretax income of CHF 383 million, 15% lower than the same quarter last year. There were net outflows in the quarter of CHF 1.5 billion with outflows of CHF 1.7 billion from private clients, partly offset by inflows of CHF 200 million from institutional clients. Let's now turn to Asset Management. Revenues here improved compared to the second quarter but were down year-on-year as a result of market uncertainty and reduced client appetite. Overall net revenues were 15% lower year-on-year at CHF 346 million. Management fees declined by 13% year-on-year in line with a 13% decrease in assets under management, mainly the result of market movements and currency effects.  A 47% improvement in investment in partnership income was more than offset by a 56% fall in performance transactions and placement revenues. Operating expenses were 11% lower year-on-year mainly driven by lower expenses related to the supply chain finance fund matter and reduced compensation and benefits. Overall pretax income decreased 21% year-on-year to CHF 104 million. There were net asset outflows of CHF 4.2 billion over the quarter, across both traditional and alternative investments, partly offset by inflows from investments and partnerships.  Let's now turn to the Investment Bank. The Investment Bank faced challenging conditions in the third quarter with higher volatility widened credit spreads and muted primary issuance. As a result, total net revenues were 58% lower year-on-year at $1.14 billion. Within primary our performance this quarter has been broadly comparable with peers in a depressed market, whereas a comparatively weak sales and trading performance is largely reflective of our business mix.  As we have evolved in recent years, we have deemphasized certain business lines such as macro where our peers have been able to benefit from higher volatility. Later this morning, we'll discuss the steps that we're taking to address this including refocusing our markets business. Capital markets revenues were impacted by substantially lower activity in the equity capital leverage finance markets and also include mark-to-market losses of $120 million in leveraged finance. We continue to take steps to de-risk our book and our non-investment-grade underwriting portfolio was down 40% compared to the end of 2021.  Advisory revenues were 39% lower year-on-year with lower deal closings and again this was in line with peers. Equities revenues were down 54% against a strong third quarter in 2021. This was driven by reduced equity derivatives and cash trading revenues and also reflected the exit from Prime Services.  Fixed income revenues were 32% lower year-on-year due to a decline in securitized products and global credit products, partly offset by higher macro revenues as a result of higher volatility. Operating expenses were 12% lower year-on-year, at US$1.78 billion reflecting lower compensation and benefits and revenue-related expenses. This resulted in an adjusted pre-tax loss of US$640 million. Clearly, this is not an acceptable outcome. And again, we will outline the steps we are taking to reshape our business model later on this morning. Risk-weighted assets and leverage exposure were down 10% and 20% respectively year-on-year, reflecting reduced business activity as well as management actions. Let me finish with a look at the Corporate Center. Net revenues were CHF 35 million while operating expenses were 62% lower year-on-year, at CHF 76 million. As a result, the Corporate Center delivered a pre-tax loss of CHF 41 million down from a pre-tax loss of CHF 212 million for the same period last year. The asset resolution unit, which sits within the Corporate Center generated a pre-tax loss of CHF 28 million compared to a pre-tax loss of CHF 73 million in the third quarter of last year. RWAs declined by US$2 billion to US$6 billion and leverage exposure by US$5 billion to US$14 billion over the same period, as we continue to wind down the book. With that, thank you very much and I'll hand over to Kinner. 
Kinner Lakhani: Great. Thank you. So we'll now begin the Q&A part of the conference. I would kindly remind you again to focus on earnings. There will be time for strategy, later this morning. Also given time restriction, if everybody could stick to a maximum of two questions, please. So over to Alice. Thank you. 
Operator: [Operator Instructions] Our first question comes from the line of Stefan Stalmann with Autonomous Research. Please go ahead. 
Stefan Stalmann: Good morning, gentlemen. Thank you very much for the presentation. My two questions are as follows. The first one on your deposits, customer deposits in the group balance sheet. They are down by 5% during the quarter. And I guess on an FX-neutral basis, given the strength of dollar it would be even more. Can you give any color please, on what drove this reduction maybe by business lines geography currency whatever makes sense? And the second question, on your capital situation at the AG. The UK authorities approved a roughly CHF 5 billion capital repatriation in early September. Has that actually been executed please? Thank you very much.
Ulrich Körner: Thank you for both questions and thank you for joining the call. I'll take the second one, first. The answer is, yes. We did repatriate the CHF 5 billion out of our UK entities and that was supportive of our parent capital ratio in the third quarter. Quite frankly, that follows a legal entity simplification strategy that we've been investing in over the years, that's contributed in the region of about CHF 18 billion of efficiencies to date. We will continue investing in that initiative over the next three years, and we'd expect that to free up more parent capital during that period as well. On the deposit front, what you have seen in the third quarter as we show on Slide 9, is really that a combination of market moves and NNA outflows have led to a reduction in AUM in the third quarter. Net new asset outflows were in the region of CHF 13 billion in the third quarter. As you know, the negative social media news around our name at the beginning of October did lead to outflows across our franchise. It's something that we're looking to address today, through the strategic announcements that we're making, including the CHF 4 billion capital raise and ensuring that we're well capitalized through this transformation period, while we make the transformational announcements and restructuring across our investment bank and other business areas. 
Stefan Stalmann: Thank you very much.
Operator: The next question comes from the line of Magdalena Stoklosa with Morgan Stanley. Please go ahead. 
Magdalena Stoklosa: Thank you very much and good morning. I am going to have to follow up on the question about the outflows? Because of course, I think from one perspective I think the market was prepared for them given what you've just kind of discussed in terms of what we have kind of seen in the markets and the media as well. But could you give us a sense of how concentrated those outflows were versus more broad-based. And we've seen the outflows I think, because you've provided us with so much information but there seems to be outflows in APAC and MENA, but for example not in EMEA. Would you be able to kind of give us a sense of kind of what actually happened during the quarter and maybe in the beginning of and maybe in October as well to kind of for us to be able to assess how to look at them going forward.
Ulrich Körner: Sure. Thanks, Magdalena. So if you look at the Wealth Management situation you've seen the outflows of CHF 6.4 billion for the quarter. And you rightly put it which you then see reflected in the transaction-based income line as well. Our Wealth Management business is very strong as you know in APAC in emerging markets that has impacted that clearly as you said. If you look at the CHF 6.4 billion it's a combination in the third quarter of deleveraging and derisking if you want to so about CHF 3 billion comes from deleveraging another like CHF 2 billion is a proactive call it derisking and then some additional deposit outflows. I think that's the right way to think about everyone. 
Magdalena Stoklosa: Thank you very much.
Operator: The next question comes from the line of Kian Abouhossein with JPMorgan. Please go ahead. 
Kian Abouhossein: Yeah. Thanks for taking my questions. First question is on advisers and concern around adviser morale clearly but if I look at the numbers they are down quarter-on-quarter in adviser numbers. And I just wanted to see -- is that driven by business exits, or what are you doing to retain advisers, i.e. do you have to write fixed contracts at this point? And how should we think about the trend into the fourth quarter in terms of advisers and in that context this clients do you need to increase deposit rates in order to retain i.e. should we think about NII changes in the Wealth Management business in terms of impact from deposit remuneration that you might have to give. And then the second question is just on funding. Clearly your funding costs have changed quite materially lately. And I just wonder how we should think about financing for this year and going forward if there's any delay in financing from your perspective? 
Ulrich Korner: Okay. Thank you very much. Let me start – excuse me, with the number of relationship managers you're referring to on Page 12 actually there is nothing I would say from my point of view unusual behind as you know we said last year that we would build on that number and enlarge that number over time. Also that is in principle unchanged because we want to grow our business, and therefore also over time enlarge that number. Having said that if you look at this market environment and what it has done not only to us but to all in terms of market performance et cetera it's clear that we slowed that down in line with the overall development of the results. And this is more driven here than by call it natural fluctuations and not being too fast to replace them if not necessary or build them put out I think that's what's behind no more. 
Dixit Joshi : Kinner, I'll take the second two questions. On funding and deposits I guess somewhat interlinked. Funding costs this year we think are up about CHF 160 million year-on-year. That's on a full year basis versus last year. You've seen the uptick in spreads across the entire industry including on our name. And the idiosyncratic effects in October have resulted in wider spreads on our name as well. Look today's announcements that we'll speak about during the Strategy Day, the actions we're taking on the investment bank, the lower leverage and RWA footprint that we will run with, the reduction of our risk profile and exposure through the Securitized Products exit, all of those items I think will be conducive to a tightening of spreads over time, and we think that would allow us to reduce our funding costs as we get through the transformation. In terms of deposit rates, we would be looking to regain our market share and would be competitive as you'd expect us to be. It's not lost on us that look you did see in the US as a result of really liquidity in the system contracting especially from central banks that you did see large reductions in deposits in the United States as well. And I suspect that's something that we might see globally as well. So in that environment we'll remain competitive.
Kian Abouhossein: And may I just follow-up very briefly on the debt schedule. Can you -- clearly that is changing with your restructuring, can you give us indication of how much debt you still want to refinance this year and next year?
Dixit Joshi: Yes. Happy to. And you'll see in the fixed income deck that was published as well. We outlined our revised plans for this year. We'd expect to do in the region of around CHF2 billion of further AT1 through the course of the fourth quarter and in the region of CHF4 billion or CHF5 billion of HoldCo debt as well. Look the strategy announcements that we have -- that we'll talk about later result in a freeing up of liquidity. And of course with the lower leverage exposure, we would find efficiencies in our funding through the next two or three years and that should result in not just improved funding costs, but quite frankly just lower funding requirements in the capital market as well.
Kian Abouhossein: Very helpful. Thank you.
Operator: The next question comes from the line of Jeremy Sigee with BNP Paribas. Please go ahead.
Jeremy Sigee: Good morning. Thank you. I just wanted to follow-up again on the outflows point. You quite deliberately told us about outflows in October after the quarter end. And I just wondered if you could give us a sense of scale, are they a similar run rate to what we had in 3Q, which was CHF6 billion to maybe CHF2 billion in the month, or is it more or less than that? Any sense of scale would be really helpful. Thank you.
Ulrich Körner: What we have seen and -- thanks for the question. What we have seen in particular at the beginning of October certainly a heightened level of outflows, which was very much based on what you have seen in the media enterprise rumors. And let me say here very clearly to the largest extent possible factual incorrect rumors. But that has affected the overall situation that has come in and down very significantly in the last couple of weeks actually.
Operator: The next question comes from the line of Amit Goel with Barclays. Please go ahead.
Amit Goel: Hi, thank you. I'm not sure if maybe this has been for the strategy presentation. But have you given the P&L contributions for the SPG Group for this quarter and for prior periods in the release I couldn't quite find it. I saw, obviously, overall non-core unit P&L contribution?
Dixit Joshi: Amit, hi. Was there a second question Amit, you broke up?
Amit Goel: I know it was one question. I was just curious if you've given SPG P&L contribution for the Q3 and for prior quarters?
Dixit Joshi: We haven't broken out the SPG contribution and it's unlikely that we'll be breaking that out as well over the next quarter.
Amit Goel: Okay. And just a second related question on that. Have you indicated anywhere any gain or loss on the transaction?
Dixit Joshi: Amit you'll hear more about that today during our strategy announcement. We make a series of planning announcements -- planning assumptions, any gain or loss would be embedded into those assumptions. But again we'll be more fulsome in our discussion during the strategy day.
Operator: [Operator Instructions] The next question comes from the line of Piers Brown with HSBC. Please go ahead.
Piers Brown: Yeah. Good morning. Thanks for taking my question. Sorry to come back to the topic of liquidity, but you did mention in the report that you breached certain legal entity LCR requirements during the quarter. I wonder if you could just elaborate on that and whether you can also give us the balance, the HQLA balance at the end of the quarter? And possibly if you have the number for October as well that would be even better. I think that number at the end of Q2 is CHF 230 billion roundabout. So if you could update on that? Thank you.
Dixit Joshi: Sure. Happy to. Increasingly, we don't think about our liquidity in HQLA terms because it's not the best indicator of our liquidity position as it doesn't provide the full picture. As you know, we're derisking our balance sheet and so NCOs are reducing. And as such, actually we focus on the liquidity coverage ratio. The LCR at the end of the third quarter was around 192%. And so it was pretty strong and probably at the highest end by peer standards. That of course has gone down as we've indicated in our disclosures through the month of October. And that's partly related to the previous question that I got around funding from Kian, which is we will then commence funding subsequent to the announcements today. We had self-selected to be out of the capital markets during the month of October given the strategic announcements that were coming today and we'd be once again commencing funding activities. The second is just what you'll hear about later and you'll see -- and I won't go through all the detail right now is that the leverage exposure reductions and balance sheet reductions that we have as part of our strategic announcements actually reduce our funding needs greatly over the next few years.
Operator: The next question comes from the line of Daniele Brupbacher with UBS. Please go ahead.
Daniele Brupbacher: Yeah. Good morning, and thank you. I wanted to ask about this Slide 18 from the second quarter where you showed the potential impact on revenues coming from shift to yield curves based on the forward curve whether you could give us an update there. Obviously, we had major moves for the general update by currency would be super helpful and probably by -- I think you also broke it down by division if I recall correctly? Thank you.
Dixit Joshi: Daniele, hi. Sure, happy to take that question. When we look at -- and we've given previous disclosure around this, but when we look at updated yield curves from most recently on a static balance sheet. We'd expect in the region of around CHF 1 billion net of uplift next year in NII. And I think that's a combination of two effects. The one is elevated rates compared to where we are. And the second is making some adjustments and being prudent around the size of deposit base as well and that would be a CHF 1 billion uplift next year.
End of Q&A:
Operator: [Operator Instructions] There are no more questions at this time. Kinner, back to you for closing remarks.
Kinner Lakhani: Very good. So thanks very much. Look forward to catching up later in the morning. And of course in the meantime, if you have any questions feel free to reach out to us in the IR team. Thank you.
Ulrich Körner: Thank you very much.
Dixit Joshi: Thank you.